Operator: Thank you for standing by, ladies and gentlemen, and welcome to the EuroDry Conference Call on the Third Quarter 2018 Financial Results. We have with us today, Mr. Pittas, Chairman and Chief Executive Officer; and Mr. Aslidis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions] I must advise you that this conference is being recorded today, Friday 16, November, 2018. And I would now like to pass the floor over to Mr. Pittas. Thank you, sir. Please go ahead.
Aristides Pittas: Good morning, ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the three and nine-month period ended September 30, 2018. Earlier this year, Euroseas contributed to EuroDry, its drybulk fleet of six vessels, one Ultramax and two Kamsarmax vessels built between 2016 and 2018, and three Japanese-built Panamax vessels built between 2000 and 2004. EuroDry was spun off from Euroseas on May 30, 2018. The results in this presentation refer to the drybulk fleet for the periods presented. Please turn to slide three. Our income statement highlights are shown here. For the third quarter of 2018, we reported total net revenues of $6.8 million, adjusted EBITDA of $4.4 million, and net income attributable to common shareholders of $1.7 million. Basic and diluted earnings per share attributable to common shareholders for the third quarter of 2018 was $0.62 per share. Our CFO, Tasos Aslidis will go over our financial highlights in more detail later on in this presentation. Please turn to slide four for our chartering and sale & purchase highlights. The Eirini P was fixed for a trip of about 25 days at $11,500 per day, and thereafter, fixed for 9.5 to 13.5 months at 103% of the BPI 4TC index. Subsequently, we sold an FFA covering Q1 2019 at $12,200 per day essentially fixing the expected earnings of the Eirini at $12,200 per day for Q1. The Pantelis was fixed for about 55 to 65 days at $115000 per day. The Tasos was fixed about 50 days at $155000 per day plus ballast bonus of $550,000 which equates to an average time charter equivalent of about $13,000 per day. The Alexandros P was entered into the Guardian Pool for a minimum of six months. We recently announced the acquisition of the Star of Nippon a Panamax size drybulk carrier of 75,000 deadweight built in 2004 in Japan for $10.1 million. The vessel is expected to be delivered to us by the end of November 2018 and would be financed with a combination of debt -- bank debt and equity. Please turn to slide five for the synapses of the Eurodry fleet as of today. Including the Star of Nippon, which will be renamed Starlight, Eurodry comprises seven drybulk vessels with a cargo carrying capacity of 530,000 dwt and with a fleet average age of 10 years old. Slide six shows the employment schedule. As you can see, coverage for the remainder of 2018 stands at about 79%. Having secured the two Kamsarmax until mid 2020 on profitable charges, we are pursuing the strategy of employing the remaining five of our vessels including the Star of Nippon on short-term contracts or index linked contracts or even pools in expectation of further improvements in the market in 2019 and 2020. Please turn to slide seven. The left side of the slide shows the evolution of one-year time charter of Panamax drybulk vessels since 2001. While drybulk vessel rates bounced back from the all time lows in 2016, we are still below historical level even subtracting the two super cycle years. So, we are now -- which provided average of about $16,000 per day. The right-hand side of the slide shows the vessel values in relation to historical prices. Drybulk prices have moved above all time low values that were established at the beginning of 2016. But they are also still lower than historical average. With a stabilizing and even improving freight rate environment, we would expect asset values to improve as well. Let's turn to slide eight, where we synopsize our outlook into the drybulk market. We have already seen significant improvements of about 30% in 2018 for the vessels that we own, and we expect markets to continue around the same levels going forward. While the Cape market current deterioration is mostly attributed to the breakdown of BHP Iron Ore facility in Australia, we expect the market to recover soon. The order book remains comparatively low, near the lowest levels of the last 20 years. Our analysis for 2019 shows a roughly balanced supply-demand balance which would suggest rates staying constant. The wildcard is Chinese iron ore and coal imports which may surprise either way. The recent short-term ban of coal imports is just an example. However, China still remains the main source of drybulk trade growth. Iron ore imports, the largest contributor of drybulk trade growth, has been strong, but not as expected due to weather disruptions in Brazil in the first half of this year. However, in the last couple of months, Brazilian exports are recovering. And we expect to reach the beginning year expectations as of the end of 2018. Similar trends are witnessed in coal imports as local coal mines have been shut down due to inefficiency and population concerns. However, the reversal of this trend could negatively affect the very positive outlook. Chinese soybean imports which have almost halted due to the U.S. China trade war expected to be partly replaced by other sources but longer term should come back, environmental regulations coming into effect as of 2020 to provide an even type of supply potentially pushing rates still higher. Please turn to slide nine. The IMF projected world GDP growth in 2018 is expected to be 3.7%, down from 3.9% the previous quarter. China is expected by the IMF to grow by 36.7% this year unchanged from the previous quarter while India's growth projection has also remained unchanged at 7.3%. The U.S. is projected to grow by 2.9%, again the same as the previous quarter. Brazil is the only country which has been significantly downgraded from the previous quarter to 1.4% growth in 2018, down from 1.8% expected during the previous quarter. For 2019, global GDP growth is expected to remain the same as a revised 2018 expectations at 3.7%. The mix of the various countries is expected to be a different though than 2018. The developed world and China should grow a bit less than in 2018 while the developing world including India, Brazil, and Russia should grow at a faster pace. Turning on to the drybulk trade, according to Clarkson, the trade in 2018 is now projected to grow by 3.1%, down from the 3.4% expected in the previous quarter estimate. In 2019, Clarkson expects a similar 3% rate growth. Please turn to slide 10 for the drybulk delivery schedule. At the beginning of 2018, it stood at 4.1%. Due to slippage of about 20% and scrapping, actual fleet growth should be about 2.7%. In 2019, a similar 4.1% order book exist which coupled with a little bit of slippage of scrapping, should keep the fleet growth at about the same levels of demand growth, i.e. around 3%. I will now pass the floor over to our CFO, Tasos Aslidis to go over our financial highlight.
Tasos Aslidis: Thank you very much, Aristides. Good afternoon from me, ladies and gentlemen. I would take you over now over the financial highlights for the third quarter of 2018 in the nine-month period of the same year. Let's turn to slide 11. And let's look first at the third quarter numbers. For the third quarter of this year, we reported total net revenues of $6.8 million, representing a 27.2% increase of total net revenues of $5.3 million during the third quarter of 2017, which was the result of the increased number of vessels and the increased average time charter rates our vessels earned in the market. We reported net income for the period of $1.7 million and net income attributable to common shareholders of $1.4 million as compared to net income and net income attributable to common shareholders of $0.7 million for the same period of 2017. The difference between net income and net income attributable to common shareholders accounts for the dividend with paid to Series D preferred shares partly in the second and third quarters of this year. This preferred dividend can be paid out either in cash or in kind and par option. And we elected to pay in kind for this quarter. Adjusted EBITDA for the third quarter of 2018 was $3.8 million compared to $2.3 million achieved during the third quarter of last year. Excluding the effect from the earnings attributable to common shareholders for the quarter of the gain or loss in derivatives, the adjusted earnings attributable to common shareholders for the third quarter of 2018 would have been $0.62 per share basic and diluted, compared to adjusted earnings of $0.29 basic and diluted for the same quarter of 2017. Let's now look to the right-hand side of the slide and review the figures for the first nine months of 2018. We reported total net revenues of $17.5 million, representing 31% increase over total net revenues of $13.4 million during the first nine months of last year, which again hold the results of the increased average number of vessels we operated and the increased rate of vessels in the market. We reported net income for the period of $0.3 million, and net income attributable to common shareholders of $0 as compared to net income, and net income attributable to common shareholders of negative $0.4 million for the same period of 2017. As we stated, the difference between net income and net income attributable to common shareholders accounts for the dividend we paid to our Series B preferred shares. Adjusted EBITDA for the first nine months of 2018 was $5.9 million, compared to $4.5 million achieved during the same period of last year. Excluding the effect of the earnings attributable to common shareholders of the gain or loss in derivatives, the adjusted earnings per share for the period ended –- for the nine months period ended September 30, 2018, would have been negative $0.07 per share basic and diluted, compared to adjusted loss per share of $0.19 for the same period of 2017. Let's now turn to slide 12 to review our fleet performance for the third quarter and the first nine months of this year and compare it with the same period results for the year before. Again, let's start with our three months numbers. Our utilization rates, as usual, broken down into commercial and operational, where 100% commercial utilization rates for the quarter and 99.7% operational utilization rates, compared to 100% commercial and 99.8% operational utilization rates for the corresponding periods of 2017. I want to remind you here that our utilization rate calculation does not include vessels in scheduled drydocks on repairs, or in lay-up that is reported during the period. In the third quarter of this year, we operated six vessels with an average time charter equivalent rate of $13,839 per vessel per day, representing a 25% increase compared to time charter equivalent rate of $11,109 per vessel per day, which we achieved during the same period of last year, a period during which we operated five vessels on average. Total operating expenses, including management fees, and general and administrative expenses, but excluding drydock costs were $6,182 per vessel per day for the third quarter of this year, as compared to $5,355 per vessel per day for the same period of 2017. Let's now look at the bottom of this table to our daily customer breakeven levels presented here on per vessel per day basis. For the third quarter of 2018, we reported an operating customer breakeven level, including loan repayments, but before balloon payments of $11,115 per vessel a day, as compared to $7,724 per vessel per day that we hedged during the third quarter of 2017. Let's now look at the results for the first nine months of this year in the right part of the slide. For the nine months, we reported 100% commercial utilization rates with 99.6% operational utilization rates, as compared to 100% commercial and 98.4% operational for the same period of 2017. We operated in average of 5.5 vessels and reported a time charter equivalent rate of $12,473 per vessel per day, representing a 30% increase compared to a time charter equivalent rate of $9,631 per vessel per day that we did during the same period of last year, a period during which we operated 4.9 vessels. Total operating expenses, again, including management fees, and generally administrative expenses but excluding drydocking costs were $6,512 per vessel per day for the first nine months of this year compared to $5,419 per vessel per day for the same period of 2017. Again, looking at the bottom of this table, our operating customer breakeven level for the first nine months of 2018 were $12,227 per vessel per day, a number that includes loan repayments, but excluded balloon repayments. This compares to $7,755 per vessel per day that we set during the same period of 2017. Let's turn now to slide 13. This slide provides some highlights from our balance. As of September 30, 2018, we hit our spending debt of $51.3 million, and equity of $19.4 million. We had the total cost of $5.1 million. Our leverage measured this loan to value ratio was quite low and estimated at around 50%. It is this low leverage that is the way that we shipped, and we plan to use to fund possible fleet growth, specifically with the finance the loan for vessels is less than that releasing almost $5 million of cash. Also, we're in the process of arranging the refinancing of two additional vessels, Pantelis and Tasos along with the financing of our latest acquisition, Vessel Starlight. When completed this refinancing loan, which provide about 90% of the funds required to pay for the Starlight, the new vessels, demanding only minimal additional fund to complete the transaction. After the refinancing, our debt is about $64 million, and would still be at around 65% loan to value ratio level. We would also expect significant -- we have a significant cash balance and to be able to fund additional acquisition. Let's now move to slide 14. These slide shows on the right-hand side, an estimate of our cash flow breakeven revenues for the next 12 months; on the left side, our scheduled debt payments including scheduled balloon repayments over the next five years. The graph which shows the debt profile before and after the refinancing I discussed in the previous slide. Expressed in dollars per vessel per day, our loan repayments over the next 12 months amount to about $25,000 per vessel per day, contribution to our cash flow breakeven level; if we make similar assumptions for the rest of the components so far our cash flow breakeven of our cash flow then make assumptions for the operating expenses, then our administrative expenses, interest, drydocking et cetera, always in a per vessel per day basis we can project that we would ship approximately a cash flow breakeven level over the next 12 months of about $1,750 per vessel per day. You can see the graph on the table on the right part of this slide. And with that, I will pass the floor back to our Chairman and CEO, Aristides, to continue the call.
Aristides Pittas: Thank you, Tasos. I'd like to open up the floor for any questions you may have now.
Operator: Thank you, sir. [Operator Instructions] Thank you. We will now take our first question. Please go ahead, your line is now open.
James Jang: This is James Jang, from Maxim.
Tasos Aslidis: Hi, James.
Aristides Pittas: Hi, James.
James Jang: Hi, again. So, the Starlight, that was a nice purchase, is there anything special about the vessel, because we currently have about an $11.1 million valuation on that, is it because it was Japanese-built tonnage or how were you able to get it at a lower valuation?
Aristides Pittas: It's a very good Japanese ship, built out of a very good shipyard. But it is due for its next drydock in about four months. So I assume that that is the reason why we were able to get this in this very, very good price.
James Jang: Okay, that makes sense. And looking at the sector, rates especially on the Panamax or the Kamsarmax and the Ultramax seem pretty steady. Would you guys look to do more spot fixtures once these charters roll off?
Aristides Pittas: Well, most of the ships, they are on trade charters. So they are essentially spot fixed. It's only those two ships that are on long-term charters. And the one that is on the pool, it essentially gets the market as well, hopefully slightly a little bit better than the market. So, yes, we would say that about 70% of our exposure -- 65% of our exposure is in the spot market.
James Jang: Okay. And so my question now leads to Tasos. So, you bought [ph] the Starlight, would the Tasos be up for sale or do you feel like you can still operate that, and maybe the Pantelis also there, I'm they're like 18 years, next year they'll be 19. How comfortable are you operating this older tonnage?
Aristides Pittas: They are very well maintained ships. And there is this discussion always in the public markets than an 18-year-old ship is old. Well, it's really not very old, 18 years. When the average scrapping price is 25, we still have another seven good years to operate the ship if it gets scrapped at the average scrapping price. So for us, it has a lot of years. It's a low investment, but it makes considerable EBITDA and earnings. So we will only scrap or sell in -- well, we would sell in an extremely high market, of course, if we see that for further trading. And we would sell for scrap if the market falls significantly. But other than that, it's providing a very decent EBITDA and return on the capital invested.
James Jang: Got you.
Tasos Aslidis: And both of these vessels, James, contribute almost the same as the other ones, and they have a lot lower debt that they carry. So they provide more to the bottom line than younger vessels at this point.
James Jang: So better cash flow generation from these two right now, right?
Tasos Aslidis: Yes, that's right.
James Jang: And Tasos, do you like the Tasos because it's named after me.
Tasos Aslidis: Whether it's named after me or not, but I take its name after me…
James Jang: So, going back to the Starlight purchase, is the Panamax sector a focus for you guys in terms of vessel purchases or would you look at going up or down? Like if you had to pick a segment for '19 and '20 for vessel acquisitions, what would you look for?
Aristides Pittas: The two areas that we like are the Panamax-Kamsarmax area, and the Supramax-Ultramax area. And depending on the price differential between the two segments, we really decided which of the two vessels to go after. Today, the difference in price is very small between the Panamax and the Supramax, and therefore we go for the slightly more expensive Panamax, which in a good market will earn more. The Supramax-Ultramax is more defensive for a poorer market. Obviously the case we are going because we think they depend on one cargo practically and one country. And we think that that is a huge risk for us. And the smaller vessels are not very interesting, so, yes.
James Jang: And then one final one, so there's been news, I mean it seems like Ultramaxes are getting bigger. Long-term, do you see the Ultramaxes kind of cannibalizing the Panamax sector or is that not much of a risk for you guys?
Aristides Pittas: To a small extent this is happening today. You see some previous Panamax cargos being carried by Ultramaxes, to a very small extent. But the Panamaxes, they are also growing in size and becoming Kamsarmaxes and bigger vessels. So there is this tendency for every type of ship to grow a little bit in size.
James Jang: Okay, good. You know what, I have to ask this question, so with IMO 2020 coming up, are you guys preparing for testing the different blends or you just plan on burning marine gasoil, what the plan for you guys?
Aristides Pittas: We are involved in a project which is checking various blends, various additives that you can put to clean your tanks. So we're actively preparing for this event. But we are not ready and we have not decided to put scrubber on our ships. It's obviously the long-term, it's not a solution. Short-term, we admit that it might produce some good results, but the risks are huge, and we intend to what 95% of the vessel owners are doing.
James Jang: Okay. So then for 2020, let's say the vessels are either on index or pools, how should we be looking at OpEx? Like how much interest do you think the…
Aristides Pittas: OpEx is not going to change significantly. What will change is the bunker price, which is not part of the OpEx, of course, it's covered usually by the charterers, and it's not part of the OpEx.
James Jang: Okay, great. That's all I had. Thank you.
Aristides Pittas: Thanks, James.
Operator: Thank you. [Operator Instructions] We will now take our next question. Please go ahead, your line is now open.
Poe Fratt: Hi, Poe Fratt with Noble Capital Markets. Good morning.
Aristides Pittas: Hi, Poe.
Poe Fratt: Just if you could expand on that last answer that you made towards scrubbers, if you wouldn't mind. Why don't you think it's a long-term solution? Do you think that the next leg would be to go to the closed loop system, so could you just expand on why you don't think it's a long-term solution?
Aristides Pittas: Yes, primarily because I believe that environmentalists will oppose the discharge of sludge into the sea or will generally oppose the use of heavy fuel oil no matter how it is processed; secondly, because an actually small number of ships will continue to use heavy fuel oil. There is a big doubt and question if this kind of fuel will be available at the various ports to be provided. I understand that, at least initially, it will be available in the major ports, but in the smaller ports, I think it will not really be available. And as we own smaller vessels that go to various different ports, I doubt that this fuel will be available for us. So, I believe that at the beginning we will see this used by the bigger vessels in all the categories, Capes, tankers, VLCCs, big container ships that have a more steady trade. And eventually that will be stopped as well. But nobody really knows how the market will be able to cope with this sudden change. One thing for sure is that if fuel becomes more expensive it's very possible that the ships will all go slower to consume less fuel and produce less effluents, so that would be a positive for the market irrespective of if you have a scrubber or not.
Poe Fratt: Yes. And you could get some scrapping through. Could you just expand on the third quarter TCE equivalent or TCE rate? Was there anything that had an unusual impact on that number? It was a little bit above what we expected. And then on top of that, it looked like there was a voyage expense credit in the quarter.
Tasos Aslidis: Yes, there was a -- I mean there was nothing unusual on the rate, we just earn the market. But there was indeed, as you observed, a voyage expense credit which resulted from when the charter receipt we buy the vessels there, the fuel, and we resell it, and we made a profit there.
Poe Fratt: SO, should I -- sorry.
Aristides Pittas: Go ahead.
Poe Fratt: So if -- should I, just looking at the fourth quarter and expect that net voyage expense to be more -- I mean…
Tasos Aslidis: No, I don't think you should carry forward that adjustment.
Poe Fratt: Yes, it'll be an expense?
Aristides Pittas: Yes, it will be an expense. What happens, Poe, is the following. When you fix a ship to a charterer he buys the fuel that you have onboard the ship at the prevailing price. And then when he delivers the ship to you, you buy it back from him at the pre-agreed price. That was a very low price for a couple of ships that were on longer time charters. We had sold the vessel at a low price and we bought it back at a low price. So with the next fixers, we sold that fuel at a higher price to the new charterer. And we gained that differential. This works positively in a rising fuel price environment, and in a falling fuel price environment you can have voyage increase disproportionally because of the effect of the purchase of the fuel.
Poe Fratt: Great. And then if I could just ask on the third quarter. The indexed rates, can you just highly the Alexandros and the Eirini, where those index rates actually came in for the third quarter? And then how it's looking for the fourth quarter, just to put that into sort of -- feed that into our model.
Tasos Aslidis: I will be happy to provide that information offline. I don't have that information handy, Poe.
Poe Fratt: Okay.
Aristides Pittas: But the index rate, Poe, it comes from the Baltic Panamax Index. So the ship is earning 103% of the Baltic Panamax Index. So you have that continuously on your screen every day. And on the Guardian Pool, they benchmark themselves against the Ultramax Index -- the Supramax Index. Our vessel earns, I think, 112% of that index. And then, of course, they try to beat that. Sometimes they do, sometimes they don't. More often they do than they don't. So that's the reason we have the vessel in the pool.
Poe Fratt: Yes, absolutely. And then, Tasos, is that 80% or 79% of the fourth quarter that's fixed, does that include the latest Tasos fixture or is that -- not incorporated in the chart?
Tasos Aslidis: Includes whatever is shown on slide six. So it includes the charters that is shown there that are about to expire now, I guess, and includes also the Starlight.
Poe Fratt: But I thought there was an additional 50 days for the Tasos that was looking into you know, the fourth quarter…
Tasos Aslidis: So when we do that recalculation there will be more coverage for the remaining days of the fourth quarter.
Poe Fratt: Okay, so it's not included. Great. And then when you look at the Starlight, can you just give me a timing on when the drydock is going to happen and how much it's going to cost and what the downtime is for those? And then would you also highlight any other downtime on your fleet. I don't expect any, but if you could just highlight whether there's going to be additional downtime on the fleet in 2019, that'd be helpful.
Tasos Aslidis: Starlight, I think was discussed during the call that we expect to have a drydock some time in the first-half of next year.
Aristides Pittas: Yes.
Tasos Aslidis: I don't have -- again the exact date. In terms of other drydocks, I believe we don't have other drydocks before the third quarter of 2019. I can double-check that and confirm to you, but that's my recollection.
Aristides Pittas: That's the case, yes.
Poe Fratt: Any ballpark on the cost of that drydock to the Starlight?
Tasos Aslidis: A general ballpark -- I think the way we do a general budgeting for drydocks is we are budgeting around three-quarters of a million plus the cost of water ballast, which another three to four hundred depending on whether we're going to put or not, of course. But that's basically the very broad, the very preliminary numbers we use. And of course, as we approach the dry dock we become a lot more specific internally.
Poe Fratt: Great, and congratulation on acquiring the Starlight. Can you just talk about any potential -- what you're seeing in the M&A market right now, is it more active, less active, sort of just a tone looking at 2019 on acquisition activity?
Aristides Pittas: We are continuously looking into the market about possibly acquiring another ship on our own. And we are interested in M&A activities that appears. We want to grow the company larger, but we don't have something that we are working on at this point.
Poe Fratt: Great. And then in contrast Euroseas, you're a little better off I think at EuroDry. Is there any thought on the preferred, and just trying to restructure or pay that down? I mean, that is going to be one cash pay and also higher rate in early 2019 too. And just if you could comment on that that'd be helpful.
Tasos Aslidis: In EuroDry, the preferred is a much smaller percentage of senior capital. I mean if you count senior debt and preferred, that is about $80 million. So the preferred is less than 25% of that. And the weighted cost of this capital is less than 8% based on our calculations. Even after the preferred goes to 12%. So in totality, it's not dramatically expensive. I think you hear margins on loans from three for junkyard ships to 5% for medium-age vessels. And if you add LIBOR you are already there. So we are looking for alternatives. I think the current situation is a bit more competitive in EuroDry compared to Euroseas, as you mentioned. But we're looking to see if we find something that goes below, obviously 12% gross, and at equally flexible term to substitute it.
Poe Fratt: Great. Thanks for that color.
Aristides Pittas: Thank you, Poe.
Poe Fratt: You're welcome.
Operator: Thank you, sir. There are no further questions at this time. Please continue.
Aristides Pittas: Thank you everybody for staying with us and disclose today. Have a wonderful weekend, and we will talk to you in February. Bye.
Tasos Aslidis: Thank you everybody from me as well.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you all for participating. You may now disconnect.